Operator: Good morning, ladies and gentlemen, and welcome to the Second Quarter 2017 Earnings Conference Call hosted by BNY Mellon. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference call and webcast will be recorded and will consist of copyrighted material. You may not record or rebroadcast these materials without BNY Mellon's consent. I will now turn the call over to Ms. Valerie Haertel. Ms. Haertel, you may begin.
Valerie Haertel: Thank you. Good morning, and welcome everyone to the BNY Mellon second quarter 2017 earnings conference call. With us today are Gerald Hassell, our Chairman; Charlie Scharf, our CEO; Todd Gibbons, our CFO and members of our executive leadership team. Our second quarter earnings materials include a financial highlights presentation that will be referred to in the discussion of our results, and can be found on the Investor Relations section of our website. Before Gerald and Todd discuss our results, let me take a moment to remind you that our remarks today may include forward-looking statements. Actual results may differ materially from those indicated or implied by our forward-looking statements as a result of various factors. These factors include those identified in the cautionary statement in the earnings press release, the financial highlights presentation and those identified in our documents filed with the SEC that are available on the website, bnymellon.com. Forward-looking statements made on this call today speak only as of today, July 20, 2017, and we will not update forward-looking statements. Now I would like to turn the call over to Gerald Hassell. Gerald?
Gerald Hassell: Thank you, Valerie and thanks everyone for joining us to discuss our second quarter performance. As Valerie mentioned, Charlie is here with us today along with Todd and members of our leadership team. Now, I'll be taking you through the highlights for the quarter for one final time and then invite Charlie to make some remarks after we've given you some color for the quarter. Next quarter, you'll be in Charlie's very capable hands. Now turning to our release, as you may have seen, we again delivered double digit EPS growth for the quarter. Hence we achieved healthy revenue growth in both our Investment Management and Investment Services businesses. And we benefited from a more favorable rate environment. We earned $0.88 per share up 17% year-over-year. Total revenue grew 5%, driven by 6% growth in Investment Management and performance fees, 4% growth in Investment Services fees and 8% growth in net interest revenue. Total noninterest expense was up 1% and we generated more than 340 basis points of positive operating leverage. Our pretax margin increased to 33% and 35% on an adjusted basis. And we're continuing to deliver high returns on tangible common equity, this quarter achieving a strong adjusted return of 22%. So this is now our tenth straight quarter of solid performance against the EPS goals we shared at October 2014 Investor Day, reinforcing how well our diversified lower risk business model is positioned to deliver consistent results in all our market environments. So now let me update you on some progress against our strategic priorities. As you know our top priority is driving profitable revenue growth. Investment Services revenue reflected nice growth across virtually all business lines. Notable items include, strong performance in our clearing business, net new business including collateral management solutions and of course higher equity market values. For the quarter, we had 152 billion and estimated new AUC/A business win and that includes the 33 billion prudential fund administration win that we disclosed in early April. And we continue to remain encouraged by the strength of our new business pipeline. We're benefitting from investments in cutting edge collateral management and US government securities clearance capabilities and market leading technology to meet client and market demand in these areas. Tri-party balances grew, reinforcing our multi quarter growth trend and reflecting a high level of client update. And this year we've on boarded a number of new repo and collateral management clients and the demand for our solutions remains high. Now, while the initial revenue impact is relatively small, we would expect these programs to build overtime. Now, we've also began on boarding clients affected by JP Morgan's decision to exit the US government securities Clearance business. The revenue impact in 2017 will be modest as many of the largest revenue producing relationships will not be coming on board until 2018. We expect to see the full revenue impact in 2019. Now, our other clearing business remains strong as well, benefiting from the restoration of money market fee waivers and another quarter of strong growth in the mutual fund balances. The mutual fund consolidations driven by the DOL fiduciary standard rule is contributing to increase clearing activity. We had 11% increase in the long-term mutual fund assets and solid growth in our subaccounting services and asset servicing. During the quarter we became one of the first banks to go live as an intermediary for US dollar payments with the first phase of the SWIFT global payments innovation or GPI. And that's a service that improves the speed and predictability of cross boarder business-to-business payments. BNY Mellon clients will benefit from quicker and faster use of funds, greater transparency of fees and payments tracking. And turning to Investment Management, it also had a strong quarter with revenue up 5% year-over-year and pretax income excluding intangibles up 20%. Pretax operating margins rose to 34%, up 4% year-over-year have been the benefits from the increased revenue and the margin expansion efforts that we've taken over the last year to focus on strengthening our core business performance. We achieved a record high of assets under management of $1.77 trillion. Now, that's supported by $14 billion in increased flows with long-term active flows of $16 billion, which includes LDI and flows from our cash business of $11 billion and that was partially offset by index outflows of $13 billion. In terms of investment performance against a backdrop of relatively strong quarter for global markets, our long-term active strategies performed well with 72% and 84% of the assets above their three and five-year benchmarks respectively. Our investments in other initiatives are continuing to gain traction as well. So, for example, we're seeing strong interest in our newest boutique and capital [ph] where we've been strengthening our alternatives offering that is part of our public and private real estate investment strategies. Our wealth management business also had a strong quarter delivering record levels of revenue to pretax income as a result of positive flows and higher net new business. The organic investment in expanding our wealth management sales teams has now turned profitable. Now, in summary, the diversity of our investment management business mix combined with a strategy of meeting the growing client demand for high value active solutions and ongoing expense control continued to drive improved financial performance in this sector. Our second priority is executing on our business improvement process to create efficiency and quality benefits for our clients and reduce technology operations and structural costs for us. But during the quarter we expanded our cognitive technology functionality to deploy optical intelligent character recognition to processing functions. We believe our use of cognitive technologies is leading edge. During the quarter we were recognized at the Blue Prism World Awards for best use of robotics process automation to deliver overall business value. During the quarter, we also signed additional client to our collateralized optimization technology application. It helps our broker-dealer services clients achieve the optimal use of their assets and maximize capital efficiencies. It's one example of how our business improvement process is contributing to revenue growth. Our third priority centers on being a strong, safe, trusted counterparty. The results of the 2017 CCAR stress test demonstrate the high quality of our balance sheet. Of the US T cent [ph] we had the lowest drawdown of our CET1 ratios to the supervisory severely adverse scenario. The stress scenario, we benefit from our fee-based recurring revenue stream, which delivers consistent earnings and strong capital generation. In addition, we have a very high quality credit and investment portfolio and a low risk business model. But from a regulatory ratio standpoint, our fully phased in SLR is now 6%. We established a separate legal entity for our operational aspects of our U.S. Government Security Clearance and U.S Tri-Party Repo business to make us more resilient, transparent, and resolvable. We also simplified our legal entity structure in Europe and across the globe, eliminating a number of entities and all of the regulatory requirements that go with them. Our fourth priority involves generating excess capital and deploying it effectively. And you saw that during the quarter we returned more than $700 million in value to shift to our shareholders, repurchasing $506 million in shares and distributing $199 million in dividends. As we announced last month, the Federal Reserve did not object to our 2017 capital plan as part of CCAR. Our board has approved the repurchase of up to $3.1 billion of common stock including the repurchase of $500 million of common stock contingent on a preferred stock issuance. Now, this is over the next four quarters. I'm pleased that we've been able to increase our quarterly dividend by approximately 26% beginning in the third quarter of this year. Now our fifth priority is attracting, developing, and retaining top talent. The executive appointments we have made during the quarter demonstrate our ongoing focus on tapping into great talent and fresh perspectives in the marketplace, while also providing growth opportunities for our top contributors from within our ranks. Now, you know all about Charlie and the strong leadership experience he brings to our team. We spoke to many of you about that on Monday. And if you heard, I'm thrilled with his selection and he is absolutely the right person to lead the company into the next phase of growth. In addition, last month we welcomed Bridget Engle, a proven high impact IT executive with more than 30 years of experience spanning AT&T, Lehman Brothers, Barclays, and most recently Bank of America. She is focused on advancing our technology strategy. We promoted Michelle Neal, the CEO of our markets business to our executive committee, which speaks to our confidence in her ability to evolve and grow our markets business and to leverage the broad expanse of our trading, financing, and liquidity capabilities across our entire client base. Frank La Salla was named CEO of corporate trust after a highly successful run leading our alternative investment services business. Now, Frank is working to further build out our corporate trust platform and sales and leadership team to deliver superior solutions for clients and extend our position in this important business. Chandresh Iyer succeeded Frank as CEO of Alternative Investment Services. Chandresh who helped drive significant improvement to our asset manager, asset owner, and hedge fund middle office solutions business will continue to build the company's real estate administration and EPS services by extending middle office solutions to our hedge fund administration clients. Joining Chandresh' team is Peter Salvage, our new Global Head of Hedge Fund Services. Peter is a veteran leader of the hedge fund middle office back-office services, innovation and technology space. Peter and his team are focused on expanding our client base of hedge, credits and hybrid private equity funds. And finally we named Rohan Singh, Asia Pacific Head of Assets Servicing. He has nearly three decades of leadership in client phasing experience in the business. His hire demonstrates our continued investment in delivering our full capabilities in APAC. So, as you can see, we continue to develop, promote, and invest in the best talent in the world. So, in summary, we delivered strong EPS growth, nice revenue growth and significant positive operating leverage. We and our clients are just beginning to capitalize on the benefits of our strategy and our investments and growth. We have a proven ability to execute and we have distinctive capabilities in areas of growing demand where we can help alleviate environmental and regulatory pressures on our clients and make it easier for them to access the insights and information they need to succeed. And we believe our early commitment to an open source digital platform sets us up nicely to continue to differentiate ourselves in the global marketplace. With that, let me turn it over to Todd.
Todd Gibbons: Thanks, Gerald and good morning everyone. It was a good quarter as we continue to execute our strategy and build a foundation for future growth. When you look at the results for the earlier quarter, a few things stand out. First, we experienced solid revenue growth in both segments with investment management and performance fees of 6% and investment services fees of 4%. Second, we grew total revenue by 5% and that's at a time when FX is under a bit of pressure due to low volatility and I think that demonstrates our well diversified lower risk model is positioned to create increased value through the most environments that we face. Third, our net interest revenue and our net interest margin benefited from the rate increases. And finally expenses were a little higher. Yet we still generated excellent positive operating leverage and increased our operating margins. Now, if you turn to our financial highlights document. I'll continue my commentary starting on Slide 5, which gives an overview of our results for the quarter. Our second quarter EPS was $0.88 at 17% higher than a year ago. And if you look at the underlying performance on a year-over-year basis, the second quarter fee revenue was up 5%. Expenses were up 1% and we generated more than 340 basis points of positive operating leverage. Our adjusted pretax operating margin was up 2 percentage points to 35%. Net interest revenue also increased a strong 8% and that was driven by higher interest rates. As we've noted in prior quarters, the strength of the U.S. dollar continues to impact the results negatively for revenue and positively for expense. On a consolidated basis, however, the net impact from currency translation was essentially neutral once again. Income before taxes was up 12% and our adjusted return on tangible common equity was 22% for the quarter and that compares to 20% in the year ago quarter. Moving ahead to Slide 7, I'll discuss our consolidated fee and other revenue primarily on a year-over-year basis. Total investment services fees were up 4%. Asset servicing was up 1% year-over-year and 2% sequentially. Both increases reflect net new business including the continued growth of our collateral management solutions and businesses, as well as higher equity market values. The year-over-year increase was partially offset by the unfavorable impact of a stronger dollar and the impact of downsizing the retail U.K. transfer agency business. Clearing services fees increased 13% year-over-year and they were up 5% sequentially. They were driven primarily by higher money market fees, as well as growth in our long-term mutual fund assets on the platform. Issuer service fees were up 3% year-over-year and that reflects higher depository receipt fees. On a sequential basis, issuer service fees were down 4% and that's primarily due to seasonality in depositary receipt revenue. Treasury services fees increased 1% year-over-year and sequentially and that reflects higher payment volumes, while that's partially offset by higher compensating balance credits. If you adjust for the compensating balance credits, treasury service fee revenue would have been an additional 4% higher. Investment management and performance fees increased 6% year-over-year and 4% sequentially. That reflects higher market values, money market fees, and performance fees. The year-over-year increase was partially offset by the unfavorable impact of a stronger U.S. dollar and that's principally driven by the British pound. On a constant-currency basis, investment management and performance fees increased 9% year-over-year. Investment management's focused approach delivering profitable revenue growth that centers on expanding our product offering to meet the evolving client demand and high value active strategies coupled with ongoing improvements to business processes, as well as increased efficiencies. As a result of the actions that we've taken over the last year, the adjusted pretax operating margin for the quarter increased 397 basis points to 34% year-over-year. Foreign exchange and other trading revenue on a consolidated base was down 9% year-over-year and it was up1% sequentially. FX revenue of $151 million was 9% lower and 2% lower sequentially reflecting the lower volatility that we saw in both periods. The year-over-year decrease was partially offset by increases in volumes. Investment and other income of $122 million compared with $74 million in the year ago quarter and $77 million in the prior quarter, both of those comparisons primarily lease-related gains in the second quarter. Slide 8 shows the driver of our investment management business and I think it will help explain some of the underlying performance. We achieved record asset under management of 1.77 trillion that's up 6% year-over-year that benefited from higher market values, net inflows that will offset a little bit by the unfavorable impact of the stronger dollar once again against the British pound for the most part. Long-term active flows were $16 billion that was driven by the second consecutive quarter of positive LDI inflows with $15 billion in Q2 and continue momentum in fixed income flows where we saw $2 billion of inflows. While we experienced outflows of $2 billion in active equities, outflows this quarter were among the lowest we've seen over the past few years. We had index outflows of $13 billion. Those were primarily due to portfolio rebalancing from several large international clients and similar to last quarter and in contrast to the industry trend, we experienced cash inflows of 11 billion and that's benefiting from our strong performance from core money market funds. Off note client assets and wealth management reached record levels this quarter that's up 10% year-on-year. And turning to our investment services metrics on Slide 9, we achieved record assets under custody and/or administration of $31.1 trillion, up 5% year-over-year and 2% sequentially, mostly driven by higher market values. We estimate total new assets under custody and/or administration business wins were $152 billion in the second quarter, once again a pretty good result. Looking at the other key investment metrics, you'll see average deposits declined 10% year-over-year that reflects the impact of the rate increase, as well as our efforts to proactively manage our balance sheet to meet the current liquidity and capital requirements. Given the strength that we've been seeing in our capital ratios, we were able to accommodate some additional client deposit for this quarter and our average deposit balance has actually increased 1% sequentially and that contributes a little to our net interest income. Tri-party balances grew a strong 19% year-over-year and they were up 5% sequentially and volume increased with the additional businesses we are on boarding. Turning to net interest revenue that's on Slide 10, you will see that on a fully taxable equivalent bases, NIR was at $838 million that's up 7% versus the year ago quarter and 4% sequentially. Both increases primarily reflect the benefit of higher interest rates. Year-over-year increase also reflects lower premium amortization that's partially offset by lower interest earning assets and higher average long-term debt. The sequential increase also reflects an additional interest earning day, as well as a modest increase in interest earning assets. Turning to Slide 11 you will see that adjusted non-interest expense increased 1% year-over-year and was up slightly sequentially. Expenses were a little higher in the second quarter than we had guided in our first quarter earnings call. About half of that increase was due to the weakening of the U.S. dollar in the quarter. Although it's up on a year-over-year basis, it was actually weaker in the quarter. The other half was due to higher incentive expense and that was both due to performance of the businesses, as well as the impact of a higher share price and the mark-to-market impact on the variable compensation component of incentives. The year-over-year increase primarily reflects higher professional, legal, and other purchase services that were partially offset by the stronger U.S. dollar, as well as lower net occupancy expense. The increase in professional, legal, and other purchase services is primarily related to regulatory and compliance cost, especially the 2017 resolution plan. Earlier this month we delivered that plan, which we believe makes us more resilient and resolvable. We incurred significant cost due to the construction of the plan itself, which has made us more resolvable and we continue to expect some of these expenses to be phased out over the coming quarters. Net occupancy expense decreased as we continue to benefit from the savings we generated from the execution of the business improvement process and sequentially lower staff expense was offset by higher other business development and software and equipment expenses. The decrease in staff expense was driven by the impact of investing of long-term stock awards for retirement-eligible employees that we recorded in the first quarter as we've done in previous years. Turning to capital on Slide 12, our fully phased-in supplemental leverage ratio increased to 6% and that makes the upcoming 2018 regulatory requirements, plus it has what we now believe is a very reasonable buffer. We also remain in full compliance with the liquidity coverage ratio. A few additional notes about the quarter, our effective cash rate of 25.4% is in line with guidance. On Page 9 of our press release, we show investment securities portfolio highlights. At quarter end our net unrealized pretax gain on our portfolio was $151 million that compared with a pretax loss of $23 million in the last quarter with the improvement primarily driven by the decrease in market interest rates for the period, in summary a strong quarter performance as we continue to execute well against our three-year goals. Now, let me provide you with some color on how we are thinking about the next quarter and the full year to assist you with your modeling. Third quarter earnings are typically impacted by a seasonal slowdown in transaction volumes and market-related revenue, particularly things like foreign exchange, collateral services, and securities lending. That all is often offset by the seasonally higher activity that we see in depositary receipts. However, for this coming quarter we would expect the seasonal bump in the yards to be about half of what it was last year and that's around $50 million, reflecting a somewhat less favorable market environment. During our first quarter call, we indicated that our net interest revenue should be up in the range of 2% to 4% for the second quarter. As you can see, we came in at the high end of that range. We had also indicated at that time that we expected to be in the 4% to 6% range for the full year. NIR would be up in that range. Given the performance that we've seen in the second quarter, as well as our outlook now for NIR, it has improved and we think we should be at the high end of that 4% to 6% range. Another item back in January, I told you that investment in other income should be in the range of $60 million to $80 million each quarter. In this quarter it was elevated quite a bit because of the lease-related gains that I mentioned earlier. As you have seen over many quarters, this line does tend to be a little bit bumpy, but for the full year we still expect the average to high end of the $60 million $80 million range per quarter. On expenses, as we noted last quarter, we expect to see $10 million decline and each of the last two quarters were about $20 million in total, mainly from reduced consulting fees related to the resolution plan. For the full year we expect our total adjusted expenses to be up around 1%, although the improved revenue performance and the recent decline of the dollar may make this a bit more challenging. Regarding taxes, we expect our 2017 effective tax rate to be in the range of 25% to 26% along the lines of what we've previously guided and finally we expect to generate positive operating leverage for the entire year of 2017. With that, let me turn it over to Charlie to say a few words.
Charles Scharf: Thanks, Todd. It's great to see that Gerald and the team were able to deliver more solid results in Gerald's last quarter as CEO and that he and the team have been able to create momentum. I know I said a few days ago that I have tremendous amount of respect for what Gerald has accomplished during his 44-year career and six-year tenure as CEO here at BNY Mellon. We're working very well together and look forward to his continuing advice and counsel. We'll continue to build on all that he and the team have accomplished and the focus on both efficiency and growth. But we understand that short-term results give us the credibility and resources to invest for the long-term. We will sustain a strong trusted and well respected company with real long-term sustainable growth. Gerald and Todd are in the best position to comment on the quarter. So, I'll hand it back to them and I look forward to speaking with you more after I'm settled. Gerald?
Gerald Hassell: Charlie, thank you very much for those kind remarks. And operator, we're now able to open it up for questions. Operator, can we open it up for questions. Yes, thank you.
Operator: [Operator Instructions] Our first question comes from the line of Ken Usdin with Jefferies.
Ken Usdin: Thanks. Good morning. Gerald, congratulations also on a great career at BK and Charlie, best of luck. If I could just ask on NII, Todd, to your point on the good progression, just as far as your outlook, I was wondering the securities book yields were flat sequentially and I'm wondering if you can just help us understand just the on and off, what's coming on, what's coming off, and any changes that you're seeing in terms of just the environment and how you're able to invest there. It seems like the benefits you got were more in the cash deposits and in the loan book and the securities yields were flat. So, just wondering if you can help us understand the movements there and how that looks forward.
Todd Gibbons: Sure, Ken. Good morning. So, the securities book, it does have about 30% of it that is floating, so that reprices regularly and it is a little bit of lag to that, but we see that reflected in the numbers over the past couple of quarters. The other 70% is being reinvested in similar duration securities and there's a flat yield curve. So, those rates really haven't gone up much. So, it's not really benefiting from a change in the rate environment. As we look forward, we would expect to see those yields continue to grind up if they follow the forward yield curve. You probably could see the entire securities portfolio continue to grind up maybe in the range of six or seven basis points a quarter.
Ken Usdin: Got it, great. Thank you for that. And secondly just on the - if you can provide a little color on that issue or services commentary, is this an environmental point about the seasonality being different? Or are you seeing some structural changes to either the usage of DRs or the way that market is moving around nowadays?
Todd Gibbons: Okay. The comment I made was we typically see in the second quarter a fairly substantial bump. We expect to see that in this quarter, but not as large as what we've seen in the past. I think Brian you can kind of point out what the factors that are driving that.
Brian Shea: Yeah. Sure, Todd. I think the reason the growth in the third quarter wouldn't be as high as last year are really driven by three different factors. One is just market and economic conditions have driven the decline in DR's outstanding in a couple of large emerging markets. Second, there were some non-recurring M&A activity and privatization activity last year in the second quarter that won't repeat itself this year, so that's going to create a year-over-year difference. And then we are seeing pretty aggressive competitive pricing in the marketplace and we've been sticking to our discipline around profitable growth. And as a result we've lost a couple of clients in the DR space, which is another factor. So, those are the three factors. But honestly we think our profitable growth strategy is the right one long-term for the shareholder and in terms of our market share of new issuance, our market share still remains market leading and solid.
Todd Gibbons: And corporate actions in the space tend to be episodic anyway. So, you are going to get some swings there from period to period.
Ken Usdin: Understood. All right. Thanks guys.
Todd Gibbons: Thanks, Ken.
Operator: Our next question comes from the line of Alex Blostein with Goldman Sachs.
Alex Blostein: Hey, guys. Good morning everybody. So, you continue to become fixated on the whole rebook clearing collateral management issues. So, maybe taking another step at this, anyway you guys can help advice how much this contributes to the revenues today and I guess more importantly the opportunity you see from JP Morgan exiting this business I guess a couple of years ago, I heard you talking about on boarding some clients, but any way you can help us and I think that will be helpful. And I guess just more importantly taking a step back to the treasury's suggestion on the SLR relief, if that does come into fruition, it should be pretty positive for the repo markets broadly. Again maybe taking a step back, you can help us think through how this could impact BNY Mellon's revenue as a whole.
Gerald Hassell: Okay. Alex, you're layering a lot of questions for us. But let's see how we can handle them.
Alex Blostein: One topic.
Gerald Hassell: I'll start with the clearance topic and ask Brian to pitch in. So, when we look at collateral management, it's another form of custody. So, we're acting as a custodian as do many of our competitors and that falls to the asset servicing line. It's a relatively small component of the total asset servicing line, but it is the fastest growing component. And we're starting to see it actually move the needle a little bit. So, we look at the growth from the - in the quarter and we look at the underlying growth rate. Probably about half of that was contributed by improvements in collateral management. Now, Brian, do you have anything to add to that with the new clearance clients coming on?
Brian Shea: Yeah. I mean JP Morgan, as you said, announced the raise for the government clearing business last year, but we're only now beginning to transition them after putting in place enhanced governance model and the enhanced resolvability model that Gerald talked about. So, we actually converted our first small JP Morgan client in the second quarter and we'll be converting now over the course of the rest of this year and the course of '18, the rest of the - those clients, as well as some other clients and new market entrants into this space. So, we think that U.S. government clearing and tri-party and global collateral services will be an increasing driver of growth over the next 18 months and we're all aligned to drive that growth responsibly.
Gerald Hassell: And I think, Alex, the related question you had is how about the impact of the treasury paper on regulatory change. A component of that was to exclude things like treasuries and central bank cash and perhaps new treasury repo out of the denominator of the leverage ratio and the SLR. As you look out to the binding constraints for the big broker dealer, big entities and broker dealers that is their binding constraint. So, I would assume that they've got some relief. The matched books that they had run in the past could probably grow and we would benefit from more activity. So, we would be very welcoming of seeing that. We think it would be healthy for the treasury market itself, because I think it would add greater liquidity to the market, tighten up spreads, and we also think there would be more transaction volume flowing through us if that would be the case.
Alex Blostein: Got it. Thanks. That's very helpful. And then the second question around the NIR dynamic and just deposit beta you guys have seen in the quarter. Any meaningful change from the last hike given client behavior, you guys observed I guess post the June hike and then specifically with respect to noninterest bearing deposit, it seems like that's been fairly stable for you guys, but any sign you are seeing that customers in that bucket are starting to look around for places of a little more yield.
Todd Gibbons: Yeah. I want to talk to - talk about a couple of points here. If you look at Page 8 of our earnings release, we disclosed what the cost of our interest bearing deposits and the change in the quarter and you can see in this quarter went from three basis points to nine basis points. So, we had about a 29 basis point increase on average in the interest on excess reserves. So, if you take into consideration that about 75% of our deposits are US dollar denominated that equates to the core of somewhere between 25% and 30% data. We do think that data with future rate increases will increase, but it will continue to add positively to our NIM. So, we do anticipate base moving up above the 50% range with the next few movements. In terms of deposit behaviors, they've probably have performed our expectations a little bit in the second quarter. In terms of the total deposits they are up a little bit. US deposits are just about dead flat on a sequential basis both in the noninterest bearing and in the interest bearing. And we do believe depending on how the Fed dose it's tapering that we might continue to see some modest runoff in noninterest bearing deposits. I think what goes on in the interest bearings is going to be just related to data's. So, there is no reason that we'd have to see that kind of a runoff. But the net impact is still a positive one with our NIM increasing more than the impact of the runoff. That's what we are currently modeling.
Gerald Hassell: Yeah, maybe I can add a loaf something Alex and that is we have a very, very good process internally by business segment around seeing the deposit flows, I mean that's why the benefits of enhanced data by business line, by segment, they can work with our treasury area making sure we are pricing the deposits the right way for the best outcome for the firm and for the clients. And that process is working very smoothly.
Alex Blostein: Got it. Thanks guys, very much.
Operator: Our next question comes from the line of Glenn Schorr with Evercore ISI.
Glenn Schorr: Hi, thanks very much. A question on asset servicing, we try to get at this once in a while and there's a lot of moving parts, but the markets are up a lot, your assets are up a lot, assets servicing up just 1%, I wonder if you could pass out what's mix shift, what's price break, what's currency, what's the U.K. TA business impact. It just came up lighter and I think there's just a bunch moving parts in there.
Todd Gibbons: Sure. How about if I start and Brian? So, one of the things that I want to make clear is, if you look at the asset servicing line for the enterprise, that does include some fee revenue that's generated in the investment management and some fee revenue that's generated and most of it obviously is generated in the Investment Services business. So, on the Investment Management side, we have seen in our boutiques a little lower securities lending and - in that kind of the custody related business and wealth management, it's been relatively flat. The remainder of it is running through - through investment services and Brian you can speak to that.
Brian Shea: Yeah. From an investment services perspective, I mean the revenue growth up 2% year-over-year. If you adjusted that for the impact of currency and the impact of our repositioning of the U.K. retail TA business, the growth rate is more like, I would say approximately 3.5%. So it's reasonably solid growth rate. We still think that this business is positioned well for growth on long-term, asset manager's face with secular trends that are putting pressure on their cost base and we really are part of that solution in terms of extending variable cost shared economies scale solution. So, we see significant growth opportunity ahead in the middle office space and the real estate private and equity funded administration space. We are strengthening our team in the ETF services space and we sort of have a life cycle approach to ETF services, not just the core servicing, but we're authorized participants and we have a platform for us to gathering - and now a new no transaction fee, EFT asset gathering platform approaching. So, I think the - we are continuing to do the foundational things we need to enhance the growth of this business and as Todd and Gerald already mentioned collateral management which is core it, is one of those drivers going forward.
Todd Gibbons: I think just as a reminder to - our business mix is a little bit different, so we are much more fixed income oriented as you know with - fixed incomes are actually down a little bit year-over-year, but we are benefitting from the expertise that we have in the collateral management side of that. So, I think that's - so we do get a market bump. There is no question about it, but it's probably not as high as you might see as somebody that was more oriented toward equities.
Glenn Schorr: Fair and all guys I appreciate that. Just one little follow-up and not sure if I missed it. You mentioned what you thought the - what you won in the quarter. Do you have a number for what is won but not yet funded pipeline?
Todd Gibbons: We don't have that number handy, but it's not a huge number though at this point.
Glenn Schorr: Okay. I appreciate. Thank you.
Operator: Our next question comes from the line of Brian Bedell with Deutsche Bank.
Brian Bedell: Hi, good morning folks. Maybe just back on the balance sheet, Todd if you can comment on how you would potentially envision the balance sheet size, if some of the recommendations by treasury do come to provision in terms of releasing cash and traded securities from the SLR denominator. How that might - I know it's very early of course, but how you might think about that shaping your balance sheet size strategy over the next couple of years. And then just also just quickly on the other securities portfolio line that you just put down, I was just wondering if there is any premium amortization increase in that in 2Q?
Todd Gibbons: Todd, I'll have to ask a follow up question of your question on the second question, but as to the balance size Brian, if we do get really from the treasury recommendations, we are going to have to think through what to do that would relieve a fair amount of our capital requirements. And so we have been pretty disciplined in the past and I expect that we will be in the future and so if putting that - if growing the balance sheet makes sense, we will do that. If not, we will buy back our shares. And so we will have to compare with the alternatives or with that incremental cash. We would love to see it because we think it would propel behavior and we would love the optionality that it would provide, but again that activity would have to be contingent in our making a decent return because ultimately it's freed up capital. So, we got to do something with capital and so that's how we are thinking about. I didn't completely understand your second question, Brian.
Brian Bedell: That was just on the other securities portion on the average balance sheet, I think yield went down, I mean it's a small thing, but its 28 billion balance the yield went down, but 10 basis points from that taken 125 to 115 in the quarter just to know if there was anything to that in terms of mix or was premium amortization effect?
Todd Gibbons: Yeah. I don't know of the top of my head. The reason to a lot of premium amortization impact so, I don't think that's going to be driving it, but I don't. If you recall back in the fourth quarter, we adopted what we call the prepayment method for amortization - the premium amortization and under that method I think we have reduced quite a bit of the volatility out of the numbers. So, we are going to have to look into that. I don't have that detail Brian.
Brian Bedell: Okay. Thanks. And just a follow for Brian on the client adoption of NEXEN and I know he has been talking a lot about client usage of a number of different services in the beginning to see a little bit of an incremental revenue impact. You did that impact asset servicing positively this quarter and are you seeing that as a potential revenue impact in the second half. And then just maybe - I know Charlie is going to comment a lot more next quarter, but in terms of the technology initiatives that you have been putting in place in the business improvement process. Should we be thinking of any type of strategic change to the priority with Charlie in the CEO seat?
Brian Shea: Yeah. So let me start with - its Brian Shea, let me start with an excellent comment. We can say as continue to increasing adoption of the NEXEN platform and we continue to build our capabilities and add more capabilities to enhance the client experience and their ability to operate effectively. We have now crossed the threshold over a hundred thousand client and internal users on the NEXEN platform which is good. In terms of revenue generation, there is going to be some fee revenue growths from core services like API, access and processing and then obviously our premium services. It is not the yet a meaningful contributor to the revenue base, but expect that revenue and at this point we don't want to provide specific guidance on that and want to just continue to build the platform out and see [indiscernible] adoption. I would say that the client impact is growing and positively more and more case studies and examples were getting the access to the real time data through APIs is making a meaningful difference in our clients business and enabling them - for example in one case, a major financial institution getting collateral and liquidity information multiple times and today enabling them to manage their collateral and liquidity more effectively and saving our clients millions of dollars. So, really getting value more and more and there is more proof points in case studies and that's going to continue to grow. In terms of the business improvement process, I will comment on and if Charlie wants to add something to it and I'm sure he will. Look the business improvement process is going to continue. It's critical to our performance to environment and the market environment requires us to continuously optimize and our existing investments in order to fund strategic growth investments in reward shareholders. So, I don't - I see this as a process, not a project and something that we would continuously do as part of the continuous improvement culture. And so, we have a pipeline of the issues already underway and already being analyzed that would continue to drive momentum in that space. And I would hope and expect Charlie would agree to that and he is going to have a chance to decide right now. Go ahead Charlie.
Charles Scharf: It looks like mother and apple pie. I agree completely what Brian said and I just look forward to getting into detail and understanding the specifics a little bit more.
Brian Bedell: Great, great. Thanks very much for the color.
Operator: Our next question comes from the line of with Brennan Hawken with UBS.
Brennan Hawken: Good morning. Thanks for taking the question. I just want to follow up on the deposit growth trends, we saw the foreign office deposit growth pick up and I think you referenced that US deposits stable. So, it seems like all that deposit growth came from foreign offices. At the same time we saw the cost of those switch from negative to positive. So number one, I guess what drove that cost and was there any particular region on driving that or was there a mixed shift there in that line item.
Brian Shea: Okay. So yeah, we're kind of mixing apples and oranges here. Where the deposits are booked does not necessarily a reflection of the underlying currency. So, what we did see - and a fair amount of our deposits are booked at foreign branches. With that the actual mix of US dollar and non-US dollar deposits change just slightly because we saw our US dollar deposits flat and our non-US dollar deposits increase slightly. So, as we go through the pickup for the period on our interest earning deposits, the cost move from - moves up from 3 to 9 basis points. And all of that was attributed to the dollar impact. So when we walk through and I had mentioned this earlier on the call when we do the arithmetic, that equates to somewhere between 25% and 30 % data on your dollar denominated interest earning deposits.
Brennan Hawken: Okay, got it. So, regardless of domicile currency driver was all USD and no real change in the non-US dollar based deposit.
Brian Shea: That's correct. It was flat from period to period on average.
Brennan Hawken: Got it, okay great, thanks. That's very helpful. And then when we think about revenue growth incurring services, I want to say that that drove - that was a pretty strong component that we saw here this quarter and we think about durability, I know you had some decent growth in the cash products as far as flows go. Is this just a catch up there and therefore we should think about this as the right jumping off point for that line item. It's tough because we kind see the exact AUM in the disclosures yet in those products and just not completely sure how much that is.
Todd Gibbons: So one at it, I take the stab at this and the bridges both of our major sectors. First of all on the clearing side the further consolidation of mutual fund assets under our platforms is increasing and it's very gratifying to see that our platforms are being used more extensively as that consolidation process occurs and we are winning business from brokers and accelerating at pace and more importantly advisors as we shift to an advisory model utilizing our platform to capture assets and that's one of the reasons why you are seeing the clearing business pick up as nicely as it did as well as the fee waiver impact. Second part of your question is, we are seeing and capturing more cash through our various portals and platforms. So whether its purging platform or liquidity services platform, we are capturing and internalizing more of that flow and that's why I think we are outperforming capturing cash in our money market business and that flows into the Investment Management area. And I think our performance in the management of the money market funds has also improved. So we are now very, very competitive on the returns in the money market fund. So the combination of the increased performance on the funds and the capture of the cash is allowing us to outperform.
Brennan Hawken: Perfect. Thanks for all the color.
Operator: Our next question comes from the line of Gerard Cassidy with RBC.
Gerard Cassidy: Thank you. I had technical difficulties on the call on Monday, so my first question goes –congratulation Gerald for your great career and welcome Charlie. Charlie, can you share with us - I know you got the tactical background from Visa and how that will help probably in the Investment Services area, but when you look at Slide 3 of today's handout, you see that the Investment Management revenues have been pretty much flat for now in two and half years. What's your view about the Investment Management business when you look forward?
Charles Scharf: Well, if I think generically its - the underlying business dynamics are something that fits very well into what we do. I obviously have a lot to learn about our boutique model. What drives the performance, what drives how we have done and honestly I have spent just a little bit of time with Mitchell, but we're going to spend a bunch of more time going through what the plans are. And when there is more to talk about we will certainly do which I would say by the end of the quarter and at Investor Day.
Gerard Cassidy: Thank you.
Gerald Hassell: Yeah, Gerard one slight correction to your commentary, the revenue growth in Investment Management was up very nicely and the pretax income was up even more. So I - we just want to then correct it a little bit to the performance to the Investment Management area was actually been quite robust this year.
Gerard Cassidy: Thank you. And then Todd can you give us an update, in 2014 on the Investor Day you talked about the balance sheet shrinking maybe 40 billion to 70 billion overtime, where are you on that number when you cash all your big [ph] deposits to where they are today. How much are you down?
Todd Gibbons: If you look at it on average, interest bearing deposits on a year-over-year basis are down about 25 billion, so we are pretty far along the way. Most of that is in dollars. Now when we gave that indication, we assumed a parallel shift in all currencies. We haven't seen that so, we are not seeing any decline in the non-dollar deposits at this point Gerard. So I think we pretty much tract along our expectations and we could see a modest additional decline. Now that all being said, the markets are growing and so with the growth the natural underlying growth may offset some of what the interest impact and the Fed tapering impact would otherwise have.
Gerard Cassidy: Thank you.
Gerald Hassell: Thank you.
Operator: Our next question comes from the line of Michael Carrier with Bank of America.
Michael Carrier: Thanks guys. First question just on Investment Management, anything - most of the trends you guys mentioned on performance in the flows, revenues and margin everything was pretty good. Just two items I had a quick question on, one is, the other line, it looks like there was a loss there. I think that's usually seed, but markets are pretty strong, so I don't know if there was something. It's a little unusual and then I think you guys mentioned on the high network side deposit balances declining for net interest income. I think we are seeing that across the industry, but is there any color on how much that tax related versus client being more engaged in the market versus setting on cash?
Todd Gibbons: Yeah, I'll make a brief comment and Mitchell can jump out. We're seeing a little bit of a decline in the wealth deposits and I don't know if I can comment on that. A - Mitchell Harris Just on the wealth deposits, you have a couple of things, I think going on. You have seasonality that happens in the second quarter with tax payments and with interest rates moving up, at least private clients are moving into other products right now. So they're shifting out. With respect to the other revenue and it's really primarily an abatement of the cash waivers that we pay out to Investment Services, so it's more of an internal transfer from us over to Investment Services.
Michael Carrier: Okay, thanks.
Todd Gibbons: And Michael were you refereeing to the segment line or the enterprise line for other investment, other income.
Michael Carrier: It was the segment.
Todd Gibbons: Okay, alright. Thank you.
Michael Carrier: And then just a quick follow up just on the investment gain, you just mentioned in terms of the full year that 60 to 80, I just want to make sure we're thinking about that right, meaning 60 to 80 for the remaining two quarters or do we take the elevated level like this quarter and the rest of the year would be lower.
Todd Gibbons: Yeah, you would adjust - take the number on average we should - on average for the aggregate for the year it should be on the high end of that 60 to 80, so four times 80 is 320, so that -
Gerald Hassell: There's your number.
Todd Gibbons: That's what I was pointing towards.
Michael Carrier: Alright guys, thanks a lot.
Gerald Hassell: Thank you.
Operator: Our final question comes from the line of Geoff Elliott with Autonomous Research.
Geoff Elliott: Hi, good morning. Thank you for taking the question. Back to the deposits, firstly, can you remind us why your clients leave noninterest bearing deposit with you? You've got over 70 billion of them, it's a very sophisticated client base, I'm sure they do not earn interest if they could. So why do clients leave those noninterest bearing deposits at BNY Mellon?
Todd Gibbons: Well, there's a substantial amount of those that are non-dollar and so right now on the non-dollar category interest rates are extraordinarily low or negative in some instances. In US dollars it tends to be frictional cash, I mean most of us leave a little money in our checking accounts and it looks a lot like a retail business when you have many thousands upon thousands of accounts and people - and our clients are trying to make sure that they don't incur over drafts in those accounts. So they leave a little bit of a cushion for that frictional activity. And then the final point, in some of our payments businesses we actually give an earnings credit, so we don't pay interest on the account, but we credit fees for the account. So that's still denominated as a noninterest bearing account, but it effectively offsets fees for the services provided. This quarter alone, we saw pretty healthy payments business, it was only up - the fees were only up 1%, but if we reflected what the credits that they got from noninterest bearing balances, that would have added another 4%, so the actual underlying activity was up a pretty healthy number.
Geoff Elliott: And then just to follow up on that, noninterest bearing is obviously a much higher percentage of liabilities or earning assets or however you want to look at it than it was before the crisis. Is there anything structural that's changed that means that it should be higher other than the interest rates environments?
Todd Gibbons: I wouldn't say that that there is obviously the value of managing that tighter and tighter would go up as interest rates go up and that's why we would expect in our models and we've reflected that that is probably going to be the case. If you kind or look back at us prior to the crisis we're running those numbers somewhere around 16% of the balance sheet. It's probably a little bit higher than that now, but I believe the non-dollar component of it has contributed a fair amount of that as well.
Geoff Elliott: Great, thank you very much.
Todd Gibbons: Okay, thank you Geoffrey.
Gerald Hassell: Thank you very much Geoffrey and thanks everyone for dialing in. We really appreciate it. Then I'm sure you'll follow up with Valerie and our team on further questions.
Operator: If there are any additional questions or comments, you may contact Miss. Valerie Haertel at 212-635-8529. Thank you ladies and gentlemen and this concludes today's conference call and webcast. Thank you for participating.